Operator: Hosting the call today are Oblong's President and CEO, Peter Holst; and CFO, David Clark. Please be aware some of the comments made during today's call may contain forward-looking statements within the meanings of federal securities laws. Statements about our beliefs and expectations containing words such as may, could, would, will, should, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding our operations and our future results that could cause actual results to differ materially from management's current expectations. In addition, today's call includes non-GAAP financial measures. A reconciliation of such measures to GAAP measures is contained in the press release issued today. We encourage you to review the safe harbor statement and risk factors contained in the company's earnings release and filings with the SEC, including, without limitation, our most recent annual report on Form 10-K and other periodic reports that identify specific risk factors that may also cause actual results or events to differ materially from those described in the forward-looking statements. Copies of the company's most recent reports on Form 10-K and 10-Q may be obtained on the company's website, oblong.com or the SEC website, sec.gov. The company does not undertake to publicly update or revise any forward-looking statements after the call or date of this call. I would also like to remind everyone that this call will be available for replay through May 25. A link to the website replay of the call is also provided in the earnings release and is available on the company's website, oblong.com. I will now turn the call over to the CFO of Oblong, David Clark.
David Clark: Thank you, Nate. Good afternoon, everyone. Our revenue for the first quarter of 2022 was $1.5 million compared to $1.9 million for the first quarter of last year. This decrease in revenue from last year is mainly because of the effects of the ongoing global pandemic on our existing and potential customers as they have deferred IT buying decisions while evaluating how and when to reopen their commercial office space. Net loss for the first quarter of 2022 was $4.5 million compared to a net loss of $3.4 million for the first quarter of 2021. Net loss for the first quarter of this year included a noncash impairment charge on goodwill of $1.1 million. Our adjusted EBITDA loss was $2.5 million in the first quarter of 2022 compared to an adjusted EBITDA loss of $2.4 million for the same period last year. Turning to our balance sheet. At the end of the first quarter of 2022, we had total cash of $6.6 million, 0 debt and working capital of $7.5 million. I will now turn the call over to our CEO, Peter Holst.
Peter Holst: Thanks, Dave. Good afternoon, everyone, and thanks for taking time to join our call today. First, I'd like to take a brief moment to apologize to our investors for canceling the Q4 call, a sudden family event arose, and we live in an age of an area where speculation is a 24/7 event these days. And while I've subsequently chatted with a great many of our investors since that time. I do want to thank everyone for their outreach, their consideration and their support. Today, I'll speak to our results in Q1, but perhaps more importantly, the specific trends we felt over the last 12 months and how we're adapting to those existing market conditions as they evolve every day. I'd like to start by acknowledging that the past several months have not resulted in the outcomes we had hoped for. Q1's results are emblematic of evolving an incredibly dynamic shift in the workplace that we are continually monitoring through direct interactions with our customers and partners alike. Whilst many of our challenges can be attributed to the effects of COVID on the workplace, recent spikes in inflation, global conflict, and frankly, an ongoing hedging effect of today's worker, who are testing various forms of hybrid work continue to affect the timing of enterprise buying decisions and implementations, while we believe hybrid work is definitely here to stay, this trend will be fluid and evolutionary over the next 12 to 18 months. Consequently, as budgets tightened during this period, demand for more dynamic technology implementations such as mezzanine for corporate meeting spaces in particular, and that scale remain very difficult to predict. That said, and in spite of all the headwinds over the last 2 years, it's hard not to be optimistic over the longer term given the following trends. The vast majority of companies have yet to transform meaningfully to true data-driven cultures, a very top-down approach decision-making continues to persist with product planning still the sole purview of senior leadership. Despite having plenty of data, most companies simply don't know what to do with it. And it's not being used as effectively as they would like. The majority of enterprises remain stuck in the analysis phase versus the action phase, trying to figure out the best way forward coming out of COVID versus actually making progress. And if there's a bright side in all this, there's a huge opportunity here. It's the same opportunity that really persisted with their pre-COVID. The slow pace of change, though, means business leaders today who fear they've been left behind are still in the majority, those who choose to get going and adopting new ways, new styles with collaboration and new ways of exchanging data and are working, by the way, on an unprecedented chance to leapfrog competitors. Those who don't will remain second the herd of laggards. So while we remain steadfast and passionate about developing next-generation collaboration products, we also are confusing faith in our ability to prevail over a longer time horizon with the discipline to confront the facts of existing market conditions. As we witness the ongoing effects of COVID on our business and the subsequent macro changes throughout Q1 in both investor sentiment and customer willingness to make near term purchasing decisions, we decided to conduct an internal review of our operations to better align liquidity and risk over the next year. As a result, repaired operating expenses in late Q1 to provide optionality and liquidity into Q1 of 2023 while also undertaking a more dedicated effort to explore inorganic path to grow. Given the current market conditions and unpredictability of enterprise IT spending on dedicated collaboration spaces, we have shifted a material amount of our time to exploring assets that have both substantial market opportunity and have been revalued in the last 4 to 6 months. As valuation in the overall technology sector has waned and the SPAC market has all but dissolved, we've recently seen a significant uptick in M&A increase, which has opened some new and potentially significant value creation opportunities for our shareholders over the long term. We expect a similar, if not more dedicated level of corporate development through the second quarter as we believe more opportunities will arise while in parallel, continuing to monitor demand shifts within our partner channels and at the end user level for our current products. "The great return to office is still very much in flux" as employers and employees alike look to balance productivity with the reality of what COVID has accelerated, a digital and distributed workforce capable of producing results from centralized and decentralized spaces. As stated in our prior call, we continue to believe office openings will occur slowly, and they will vary from region to region. Our channel partners or end users are cautiously optimistic, but also taking very much a wait-and-see approach to advance technology implementations. Clearly, a larger scale return to office is the primary gating item and catalyst to accelerating our existing business. So we've expanded our view of how and where to grow in the coming months ahead and look forward to providing updates to everyone in the very near term. Thank you again for joining today's call, and I look forward to speaking with everyone in the very near future.
Operator: This concludes today's call. As previously stated, a link to the website replay of the call is also provided in the earnings release and available on the company's website, oblong.com.
End of Q&A: